Operator: Good day, ladies and gentlemen, and welcome to the Gibson Energy 2017 Fourth Quarter and Year-End Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host for today Mark Chyc-Cies, Vice President Investor Relations. Mr. Chye-Cies, you may begin.
Mark Chyc-Cies: Thank you, Sonia. Good morning, and thank you for joining us on this conference call discussing our 2017 fourth quarter and full-year operational and financial results. On the call this morning from Calgary are Steve Spaulding, President and Chief Executive Officer; and Sean Brown, Chief Financial Officer. I would like to caution you that today's call contains certain statements that relate to future events or to the Company's future performance. These statements are given as of today's date and they are subject to risks and uncertainties as they are based on Gibson's current expectations, estimates, judgments, projections and risks. Actual results could differ materially from the forward-looking statements expressed or implied today. The Company assumes no obligation to update any forward-looking statements made in today's call. Additionally, some of the information provided refers to non-GAAP financial measures. To learn more about forward-looking statements or non-GAAP financial measures, please refer to the December 31, 2017, management's discussion and analysis, which is available on our website and on SEDAR. Now, I would like to turn the call over to Steve.
Steven Spaulding: Thank you, Mark. Good morning, everyone and thank you for joining us. As we close out 2017 by reporting our operational and financial results for the year. Things important that we recognize the 2017 was the start of a dramatic transformation of Gibson. I'm very pleased with the progress we've made and what we see on the horizon. When I joined the Company in June Gibson had already taken the first step on our current path through the sale of the Industrial Propane business and as we worked through our strategic review of the business they quickly became clear we needed to exit our U.S. Environmental Services business. These are among the first step to make Gibson and more competitive investment and proposition for the Canadian energy infrastructure space. As we outlined that our Investor Day just over a month ago we're going to accelerate the shift in the business to an oil infrastructure focused Company with high quality cash flows. We'd also want to have a business to delivers an attractive growth profile on a per share basis, which will underpin a secure and growing dividend. What hasn't changed is that appreciation of our terminals particularly Hardisty are the heart of this Company. At Hardisty, we have a strong competitive position that is due to our existing connectivity, called inbound and outbound pipelines plus exclusive access to the only unit train facility. As I spoke at the Investors Day, we expect the oil sands production will continue to grow through small to medium scale Brownfield SAGD Projects and the debottlenecking of existing projects adding anywhere from 20,000 to 50,000 barrels a day. Perhaps further evidence the oil sands players intend to keep growing over the long-term is the recent application by Suncor for their Lewis project, which will add 160,000 barrels a day over four stages in the latter part of the next decade. In September of 2017, we sanctioned the construction of an additional 1.1 million barrels of tankage at Hardisty and expect to realize an EBITDA investment multiple of five to seven times on these types of projects, which is consistent with the other tanks over the last several years. This January, we placed two tanks in Edmonton in service adding 800,000 barrels of capacity ahead of schedule and below budget. We remain confident we can sanction at least one to two tanks per year on our run rate basis in the current price environment with the potential to increase with higher oil prices or if continued egress concerns result in producers seeking more security by extending their available residence time and adding additional storage. This confidence in the one to two tanks or greater is also predicated on our current commercial discussions with existing and potential customers. And we are confident that a portion of these negotiations will lead to the sanction of additional tankage over time. We also appreciate the need for Gibson's to grow beyond incumbent tankage opportunities and to fully surface the value within our asset base. At Investor Day, we talked about several opportunities we see, so let me provide some color on the progress we are making. In terms of additional opportunities inside defense line similar to our tankage opportunities. These conversations are ongoing as several customers have indicated an interest to add additional services. And again typically these are the 5 million to 10 million barrel opportunities that they add up over time. Perhaps one tangible example we can give that we can grow beyond tankage is the $50 million Viking Pipeline Project that we sanctioned a few weeks ago. When we talk about leveraging the core assets or being commercially in customer focused, opportunities like the Viking Pipeline or product of that energy infrastructure can be a competitive space for investment opportunities. And I believe Gibson Energy can compete, and more importantly we will win. While $50 million may sound like a small number relative to our peers, but either than context, it represents one third of our target capital investment per year. The underlying economics for this project are strong and we like the cash flow quality and the basin. And we like the potential of increased in that capacity over time. We continue to actively evaluate other pipeline investment opportunities in Western Canada and seeing the Viking Project as really a first step. In terms of our U.S. strategy, in 2017 we cancelled our exclusive use agreement with respect to our injection stations with a third-party. This agreement prevented us from building out our buy sale business and it granted that third-party a 25 mile area of exclusive use around our injection stations really blocking the growth of infrastructure in the U.S. As part of the SCOOP, I am pleased to say that while our strategy in the U.S. is still in early stages. There is meaningful progress being made. As we talked about at Investor Day, we intend to focus our U.S. President strictly on the Permian and SCOOP/STACK where we have a competitive advantage through our injection stations located on some of the most important egress pipelines. These two basins can grow one million barrels a day in next year, which is about as much as Western Canada is expected to grow in the next 10 years. For this reason, we certainly believe there will be opportunities and we will actually get on that. As part of this focus on the Permian and SCOOP/STACK we are contained to see month-on-month increases in our load counts in our trucking business, volumes in February and in these core basins approximately 25% higher than any time last year. We are still in the early stages of the building in back, our $10 million to $15 million EBITDA business, but are encouraged that we're winning new business. It's important to be clear that our U.S. strategy is focused on securing infrastructure opportunities, focused on gathering systems, rather than building out the large trucking presence. One of the critical elements to our strategy is to have the local relationships necessary to win the business. While I have done a lot of business in the U.S., in both of these target basins, I'm very glad we've been able to hire a very talented Vice President of Business Development in the U.S. We've only had [indiscernible] job for two months, but the quality and quantity of opportunities he is servicing, provides optimism that we will be able to sanction some capital investment opportunities this year, which would be ahead of schedule. As you would likely notice, I believe it's very important that we have the right people in the key roles and then we have the right organizational structure. For the end of the year, we made a series of changes to drive a commercial focus throughout organization and remove any previous sidles that were remaining and place more emphasis on the producer or major customer. We've also removed extra layers and start to decrease the number of senior leaders as we move towards a more innovative and streamline organization. As we've said before, these changes will result in a cash and share-based cost saving between $15 million to $20 million per year on a run rate basis. Over time I believe this will also have other cost saving benefits, as I found that from my experience that people spend money and less people - you don't have the project - you do the project that you really need to do and avoid the ones that are not required. We expect that we will continue to provide opportunities to reduce cost in each of our businesses. And we're thinking about how we will grow our distribution cash flow when we think about how to grow our distribution cash flow cutting cost has a direct impact and it's something that is within our full control. And while we will continue to drive cost, the other benefit we are seeing from our organizational changes is the quality and execution and on our opportunities, both in our wholesale segment and on our commercial front. We are seeing a difference from the changes we've made. To conclude my comments, but I want to leave you with a day is that we see many indicators that transformation is taking hold and we're starting to turn the corner. And we are confident our ability to grow 10% a year through 2019 and already taking steps to secure opportunities that will drive that from 2020 and beyond. I will now pass it over to Sean, who will walk us through the financial results in more details.
Sean Brown: Thanks Steve. As Steve mentioned from a financial perspective, we had a strong 2017 with continuing infrastructure segment profit, total segment profit, adjusted EBITDA and distributable cash flow, all increasing meaningfully over 2015. Looking to our strategy, one of our achievements in 2017 was that over 75% of our segment profit, which from infrastructure with approximately two-thirds from Terminals and Pipelines. As a result, we are well positioned to reach our targets that 85% infrastructure and 75% terminals by the end of 2019 through additional infrastructure growth as we divest - and as we divest of non-core businesses. As Steve mentioned earlier, Gibson is undergoing a dramatic transformation with the shift infrastructure driving a material improvement and the quality of our cash flows to security of our dividend and the strength of our balance sheet. Before speaking to the results, please let me note that as we progressed in the disposition process, certain businesses will be classified as held for sale or discontinued operation, so the geography may change a bit between quarters. To provide the most consisting comparison between periods and to focus on the results that are most indicative of where the business is heading, we will generally speak to our results and continuing basis rather than a combined basis. The exception to this will be distributable cash flow which will continue to consider on a combined basis. So inclusive of divesting businesses for the period we held ownership and this is the most indicative of the cash generation by our operations and the amount available for distributions. So turning to the financial result, adjusted EBITDA from continuing operations of $278 million for full-year 2017 was a 40% increase over the $244 million earned in 2016. Well, each of the segments provided a higher contribution in 2017 than in prior year $36 million of the $46 million increase in total segment profit which from the Infrastructure segment. This increase within infrastructure was largely driven by additional revenue from the new tanks commission in the fourth quarter of 2016. Partly offsetting the increased revenue with a couple of one-time items with a $4.6 million revenue adjustment and the recognition of $2.3 million and environmental remediation cost decreasing Infrastructure segment profit by approximately $7 million in the fourth quarter of 2017. In our Logistic segment, full-year segment profit was about $3 million higher in 2017 than in 2015 with contribution from Canadian Truck Transportation increasing approximately 25% as a result of stronger margins and a modest increase in volume. U.S. Environmental Services was up $14 million or about 140% reflecting an improvement in Water Hauling volumes and margins in the SCOOP/STACK and Bakken, partly offsetting this with the weakness and U.S Truck Transportation as we ended the exclusive injection station relationship with our largest trucking customer to transition to a new business model, leading to a 27% decrease in trucked volume for the year. Contribution from Wholesale Segment improved by $6 million in 2017 routed to 2016. Refined products on meaningful improvement in 2017 as a drilling fluid and roofing flex market both strengthened. Partly offsetting the strengthen refined products with NGL wholesale where we continue to be narrower winter summer spreads reducing profitability of our propane activities. Crude wholesale in 2017 was generally in line with 2016. Looking at the fourth quarter our 2017 adjusted EBITDA from continuing operations was $82 million relative to $84 million in 2016. Contribution from infrastructure was flat in the fourth quarter of 2016 has additional tankage and service was offset by the negative impact of the $7 million in one-time items has already discussed. Another driver of the decrease was a lower contribution logistics due to ending our exclusive injection station relationship with their largest trucking customer in the U.S. as already discussed as well as weaker margins in Canadian Truck Transpiration. Turning to distributable cash flow from combined operations, the $184 million in 2017 was a 39% increase from 2016, while $65 million in the fourth quarter of 2017 was also 35% ahead of the $48 million earned in a comparable quarter last year. On a full-year basis, the increase in our continuing business was effectively offset by the sale of Industrial Propane with decreased financing cost and de minimis cashtaxes in 2017 accounting for the majority of the improvement and distributable cash flow. Through the refinancing of our notes and repayment of debt over the course of 2017, aggregate financing cost for $17 million lower in 2017 and 2016. On a run rate basis interest costs were reduced by over $35 million well improving our debt maturity profile with the first series of notes during 2022. Additionally, the realize foreign exchange loss in the repayment of note significantly reduced our taxable income in 2017. On a payout ratio basis over the full-year of 2017 we had approximately 100%. As we talked about at our Investor Day we expect that our payout will be at or below 100% as we work through our dispositions. We are confident that the high quality cash flows from our Infrastructure segment will continue to underpin that current level of our dividend and the payout ratio will continue to decrease towards our target range of 70% to 80% as new projects are placed into service and costs saving initiatives are realized. Total growth capital investment during the year was $157 million inclusive of $59 million in the fourth quarter. Over 90% of growth capital was incurred in the Infrastructure segment as we advance the expansion of the Edmonton and Hardisty terminals. The decrease in spending in 2017 routed to plan was the result of both cost savings we realized on construction at Edmonton as well as the timing of when capital is incurred relative to initial estimate. As Steve mentioned, the Edmonton expansion was placed into service at the start of the year ahead of schedule and under budget. We continue expect the Hardisty expansion will come into service in Q3 2019 with the project trending could be on or ahead of schedule and at or below budget cost. For 2018 with the sanction of the Viking Pipeline Project, we updated our 2018 growth capital outlook to be between $165 million and $205 million implying that our capital investment in 2018 will exceed 2017 based on the projects we have sanctioned today. We continue to seek additional investment opportunities with the potential to invest up to $250 million in 2018. Maintenance capital on 2017 was $28 million. We expect to be in line or below those levels in 2018 as we focus on driving down costs and divest of several more capital intensive businesses. We remain well positioned to fund our capital program with significant available capacity in our revolving credit facility. Leverage at the end of the quarter was under four times trailing 12-month pro forma adjusted EBITDA. As we outlined in our financial plan at Investor Day, although our leverage is currently higher than our target range, we have comfort as a result of our high quality of cash flows and fully funded capital plan. In particular, the majority of our EBITDA's from our steady, highly contracted infrastructure business and our limited cyclical business is already at or emerging from short funding levels. We expect our leverage metrics will remain elevated above targets through 2018, but will move toward our target range of 3 to 3.5 times as a result of the additional tankage that will come into service in 2019 as well as improvement in EBITDA as we focus on our cost structure. As we talked about it at Investor Day, we view our capital program through 2019 will be fully funded through the 275 to 375 we conservatively expect to receive from our non-core divestitures. With respect to our non-core divestitures, the sale of ESL continues to progress very well and we believe we will be in a position to announce the transaction in the first quarter and our confident we will be able to close in the second quarter. As part of the realignment of the U.S. business, we are rationalizing our non-core injections stations in trucking assets. We launched this realignment at the start of February and are encouraged at the interest for these assets from potential buyers. We have received multiple bids and are hopeful we can close certain regional divestitures through the second or third quarter. The divestiture of NGL oil sale is progressing well and we continue to target at third quarter closing. Between U.S. environmental services and NGL, we would expect to have our 2018 capital fully funded. Looking to 2019 funding, we are now in the preparatory phase with respect to our Canadian truck transportation divestiture and expect that we will put that into the market sometime in the second quarter of this year with the potentials that we are ahead of our mid-2019 target. Overall, we are very happy with how the divestiture process is going and believe that we will remain with the potential to be both our aggregate proceeds range and our timeline. We are also very pleased to see yesterday's announcement by S&P that is upgraded as they look from - for Gibson from to positive on the back of our infrastructure focused strategy. We are also encouraged by S&P's upside scenario under which our credit ratings could be upgraded as we continue to deliver on our strategy in terms of executing our divestitures and securing organic growth that increases our waiting towards take-or-pay and stable fee-based cash flows. Looking ahead to our first quarter results, we want to remind everyone that we will be early adopting IFRS 16 as we had previously indicated. There is no impact to distributable cash flow from this adoption. However, the non-cash component of both segment profit and EBITDA will be approximately $55 million per year higher or just under $15 million a quarter. In our business, the majority of the leased costs relate to rail cars in our wholesale segment. Of the approximately $40 million in leased costs within wholesale about half are in our NGL business. To provide example, we expect that segment profit in wholesale in the first quarter will be between $20 million and $30 million including the impact of IFRS 16 which would be comparable to the $20 million to $30 million we talked about as our expected range for the fourth quarter of 2017 without IFRS 16. I would note to that to the extent that differentials remain wide. There is potential upside in our wholesale segment over the course of the year primarily through wider margins in refined products. In all operational performance of our business remain strong and we continue to improve our financial position, will advancing our strategy to focus on growing our long-term high quality cash flows within the infrastructure segment. At this point, I will turn the call over to the operator to open up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Robert Hope of Scotiabank. Your line is now open.
Robert Hope: Hello. Can you hear me?
Steven Spaulding: Yes, we can now.
Robert Hope: Okay. Sorry about that. Good morning, everyone. Just in terms of tankage opportunities at Hardisty and Edmonton, with the recent widening differentials and I would imagine kind of storage levels picking up, are you seeing I guess a) Additional interest from producers for additional tankage opportunities? I would get to see crossed a line in the near-term? And then b) Have you been able to clip incremental margin in anyway due to those dynamics as well?
Steven Spaulding: I'll address that one. This is Steve. We have the several opportunities that we're chasing there the terminal, probably we're looking at potentially taking - there's opportunity to gain market share at the terminal. There is opportunities around the rail driven opportunity, which is part of that thread for people we expanding their use of the rail terminal and adding additional storage and then probably a focus with some of the big downstream players that are wanted to add storage there at our Hardisty Terminal. As far as specifically taking advantage of the opportunity within our infrastructure asset, no. That's a very much a steady business. And it hasn't - we have been very little impact in that business from the spreads itself. And it's still very early in the process as far as people adding additional storage because of the impact, of the pipeline maintenance that occurred and because the Fort Hills coming on as we speak.
Robert Hope: All right, that's helpful. And then just as a follow-up, the Viking Pipeline kind of seem to be exactly what you're point throughout the Investor Day in terms of expanding kind of the reach of your terminals. Is that the low hanging fruit for 2018 and are you looking at additional investments probably further down the line? Could we expect some additional movement in 2019 there?
Steven Spaulding: That's a good question that we were pretty confident at Investor Day. We did hold it back because it wasn't quite wrapped up at that time. Of course we do continue to drive for opportunities around that Hardisty Terminal and development out of that Hardisty Terminal, and then probably other opportunities would be in the U.S. really in that Delaware Basin in the middle a mason right now. But those would not be very large projects in the U.S.
Robert Hope: Okay, appreciate the color. Thank you
Operator: Thank you. And next question comes from Linda Ezergailis of TD Securities. Your line is now open.
Linda Ezergailis: Thank you. It's interesting to know that S&P is already acknowledging all your initiatives by revising your outlook to positive, but maybe you can provide some context around some aspects of the plan that you are presenting to them in terms of your base case scenarios and sensitivities around upside, down side, and specifically as it pertains to that to the dividend, I'm assuming that your base case plan as flat for the next number of years, but under - did you have a discussion with them under what scenarios and when might you consider increasing it and under what sort of unusual scenarios with the debt rating agencies expect you to reassess the appropriateness of that level?
Steven Spaulding: Thanks Linda. There is a lot in a question. But I'll address - absolutely we were pleased to see the announcement by S&P yesterday as you note is reflected to the - of the change in business mix that we have seen certainly over time and continue to see through the strategy. What I would say is that that was in the S&P initiated exercise. So they're upgrade or sorry there are move and sort of as that they made what was not as a result of us going in to see them recently that was the result of sort of them taking a look at what we talked about at the Investor Day. I'd imagine getting some feedback from investors and just you know reflecting some of the changes we had made. So it's not like we had gone in recently and provide them substantial scenario analysis and a typically we do going and see them sometime in the first half of the year and still intend to do so. Specific your question around sort of upside, downside they would have received when we last one into seem them certainly and even more recently our budget for the year, which I think as I've said to people is quite conservative. Especially as we think about our Wholesale segment which as I noted in my prepared remarks today. We do see some upside on, but with respect seems to their different dividend scenarios we didn't present to them many different scenarios that would contemplate an increase and decrease in dividend, because we didn't give them recently any number sort of beyond the 2018 timeframe.
Linda Ezergailis: Okay. Thank you. Maybe as a more detailed question, can you help us with understanding what sort of expectation for cash tax trends you would have the next couple years as well as maintenance capital?
Sean Brown: Yes, absolutely. So from a cash tax perspective, we actually expect it to be relatively de minimis in 2018 once again. So would expect it to be relatively close to call it zero in 2018. On a run rate basis, we would expect that probably would be closer 2019 and beyond and $10 million to $15 million range. And then from a maintenance capital perspective as I had in my prepared remarks today, I was getting the exact number $28 million was the number for 2017. Our bucket would be indicated number pretty close to that for 2018 but we would expect that there certainly is opportunity to improve that. So think of that probably close to the $25 million range as we work through. I don't spend partly on sort of the timing of divestures as we move through and the continued focus on cost savings which in our mind include maintenance capital that Steve's talked about really since he joined the business.
Linda Ezergailis: Okay. And then 2019 post run rate?
Sean Brown: Yes.
Linda Ezergailis: $25 million as well?
Sean Brown: Yes, so think of it 2019 $25 million or less is the way I would think about it.
Linda Ezergailis: Great. Thank you.
Operator: Thank you. And our next question comes from Robert Kwan of RBC Capital Markets. Your line is now open.
Robert Kwan: Good morning. If I can come back to rail, I'm just wondering if there's any update on the re-contracting side of things and Steve you alluded to it bad just with potential for expansion but as well I need discussions you're having around expanding the infrastructure and the facility itself with your partner?
Steven Spaulding: We are main focus there is not to expand first, but actually to re-contract the existing contracts. And there has been considerable discussion that's really been led by our partner we're starting to get involved and we think significant increase over time in the rail use. Right now I believe that rail - are relatively being kind of held back as the rail company start to step up and bring in the power. But they're not going to do that without long-term commitments from our customers. So that commitment is much larger than the commitment when you look at as the rail facility commitment that - so we believe that the two commitments combined we will see some longer-term extension of those agreements relatively within the next several months.
Robert Kwan: Got it. And then maybe just to finish on the U.S. Environmental Services sale in your disclosure there's some statements around structure that you've agreed upon. I'm just wondering if you can elaborate on what that might mean and if it refers to the form of consideration cash papers there are differed payments. And as well you did S&P know what the price is prior to their action yesterday?
Sean Brown: Thanks for that Robert. So I'm not going to comment specifically on instruction, we would anticipate - with respect to your direct question that it will be all cash or largely cash consideration. I would say the structure comment within there was probably more around the vagaries of the accounting assessment that we had. And the different tests you have if you went through the note, it's whether or not it was held-for-sale at year end and what's happened since then. The determination was made by management in conjunction with our auditors that it wasn't held-for-sale at year end, but subsequent to that, it would have met the test and destructure the transaction as one of those. So I wouldn't read into that specific part of it overly, but that being said, it is contemplated to be all cash consideration. And with respect to the rating agencies, again there hasn't been a very recent update with them, but we have kept them updated as we've moved through the process and they are aware of what we expect the value of that business to be.
Robert Kwan: Sorry, Sean. So it was S&P move based on the expectation not knowing the price that you've agreed upon?
Sean Brown: No. We've kept them updated as we've moved through the process, so they are aware of what we would expect the price to be for ESO.
Robert Kwan: Okay. That's great. Thank you very much.
Operator: Thank you. Our next question comes from Jeremy Tonet of JPMorgan. Your line is now open.
Jeremy Tonet: Around the $250 million potential growth CapEx for 2018 and what kind of projects that could entail?
Sean Brown: So Jeremy, you cut off at the beginning. It's Sean here. But I think your question was our capital guidance is that $160 million to $205 million, but you also note the potential for $250 million in growth capital in 2018. And I think the question is what are the type of projects that could push that number up to the $250 million.
Jeremy Tonet: That's correct.
Sean Brown: So you cut off at the start.
Jeremy Tonet: Yes. That's correct.
Steven Spaulding: So the $250 million, I mean our guidance really is really around that $165 million range to $205 million, so to push up around the $250 million would be - that would be really susceptible probably build out a tankage in the Hardisty area. That would be probably our biggest opportunity right now. The things in the U.S. to be relatively small. We're talking 10s and 20s. So those probably are Hardisty assets and it would be our main focus there.
Sean Brown: Yes. I think Jeremy from a large scale as Steve said it would probably be in and Hardisty and initiation of either new tank builds or some of the plumbing in the facility. As you were aware and I think your question was specific to what - what else in the larger scale projects that could increase it, but I mean as we think about the ability to get up to that $250 million number, I think certainly some of the smaller scale things is what could push it up as well. And as Steve alluded to that would be - being successful in our U.S. strategy through 2018 and actually deploying some capital into the infrastructure side there or even some of the smaller opportunities inside defense line at Hardisty and/or Edmonton. So the $250 million number could be achieved either through the announcement of something more material or equally likely as just through small scale opportunities that we chip away through the year.
Jeremy Tonet: Okay. Thanks. And then could you update us on the progress for the Moose Jaw strategy realignment?
Steven Spaulding: That's going very well. We continue to have negotiations with several parties when it comes to that kind of take-or-pay agreement across the facility. Cost cutting at the facility is most of all of the cost cutting that facility has been done. And so we see that transformation really kind of going forward. We're currently reviewing a small project there to expand the facility, approximately 20% on a go-forward basis.
Jeremy Tonet: Okay. Thanks. And then just one last one. Could you share the expected multiple for the Viking Pipeline Project if you've given it?
Steven Spaulding: We've talked about the Viking Pipeline in the base case being kind of in the eight to 10 ranges Jeremy. And then if we can fill up the pipe, we think that we could get into that five or seven times EBITDA range.
Jeremy Tonet: Great, thanks for taking my questions.
Operator: Thank you. And our next question comes from Ben Pham of BMO. Your line is now open.
Benjamin Pham: Hi, thanks. Good morning. On that last question on the multiples - so you mentioned part of seven times today a bit of the notch a difference than six to eight times you mentioned at the Investor Day. And I wanted to ask what's driving that change and also given the take-or-pay nature of the tankage, a bit of context on what would drive the high and low of the range?
Steven Spaulding: Thanks Ben. I appreciate that. As we talked about previously, the five to seven is really consistent with where the built momentum was then sort of throughout in our - immediately post IR day, we had put sort of the six to eight specific of those tanks in there to be direct in the six to eight, I don't think there was a change in messaging. We have had a philosophy that we certainly brought forth that we're looking to under promise and over deliver. The six to eight was really a conservative view if you look at the specific multiple there. One of them was sort of at the very low end of the six and one of them was that the sort of seven range. So if you think about the five to seven still very much in line with that. So nothing really inconsistent with what we've had before other than through IR day, again was looking under promise over deliver, take a conservative lines towards thing. So really no change and build multiples from today's messaging from what we had brought forth at Investor Day.
Benjamin Pham: And can I then hop under the ranges of returns. Is that - address that one?
Steven Spaulding: So Robert with a range of the other returns are, really depend on the build out of the facilities. So many times when we build these facilities, we'll build the piping infrastructure, and the retaining infrastructure. So we can build three to five tanks within that facility kind of within a defined area. And so if we built just one or two tanks that can be up in the higher multiples, but when you build up a final two tank that can drive you down into that five and six multiple.
Benjamin Pham: Okay.
Steven Spaulding: Is that helped you, Robert?
Benjamin Pham: Yes, no problem. And then can I ask you then on the messaging on the payout at or below 100% with Viking now being announced doesn't see there is a change in the payout messaging of that. Is that because you had Viking in a thought process already at IR day?
Sean Brown: Yes, but I mean certainly - I mean Viking, we wouldn't expect to cash flow in 2018. So that wouldn't change of that view. But I mean - as Steve alluded to, Viking was very well advanced as we went into Investor Day. I mean we are pretty direct on the opportunity. We thought to build that pipeline network. I think even in his prepared remarks at Investor Day, Steve specifically referred to the Viking basin as a place that we viewed as being potential or attractive. So that was absolutely in the numbers we had at Investor Day and that's up to something we tried to get at post Investor Day as we thought about or projected that we feel we're fully funded through 2018 and 2019. The Viking Capital was in the slides that we had through Investor Day. So that was absolutely anticipated and included in the numbers.
Benjamin Pham: Okay, thank you. Can I ask you quickly also the USES sale in December, when you were going to bidding process that buyers know that as was going to see a tripling of EBITDA versus 16 numbers or is that has placed some upward momentum on the pricing expectations?
Steven Spaulding: No. This is largely in line with budget. So I mean whenever you put forth a sale process like this, you produce a budget that you feel is credible and defensible and that's exactly what we did here and the number is that ES sales has achieved are largely in line maybe modestly above budget, but not so materially that it would change the narrative. I mean this is the nature of a business like to ESL. And drop the years it doesn't perform extremely well and when things turn, there's a fair, but it's hard to recovery. So this is absolutely consistent with what we would have budged, if modestly above and consistent with what we would have presented the buyers throughout the process.
Benjamin Pham: Okay, thanks guys.
Operator: Thank you. And our next question comes from Robert Catellier of CIBC World Markets. Your line is now open.
Robert Catellier: Thanks. Just a quick update on Viking here a follow-up, I'm wondering if you could disclose or give us booking just how much is contracted in for what terms?
Steven Spaulding: Thanks, Rob. I don't think we are not coming out with specific level of contract in this. I think as Mark had indicated, we've got big economics sort of that eight to 10, think about that as being sort of the contracted portion of it and to the extent that we get more interruptible volumes or more volumetric through it that's a drive to down to the five to seven. But we are not sort of coming out and saying specific to what portion of the pipe has contracted the time.
Robert Catellier: Maybe you can give us a characterization of how much of your exposure you would have on an EBITDA basis or maybe the sensitivity from the asset sales in the capital plant is currently a vision.
Steven Spaulding: So I can say that again.
Robert Catellier: I'm looking to the exposures, EBITDA exposure to the US pro forma, all these asset sales?
Steven Spaulding: So on LTM basis, our contribution with the U.S. will be basically zero. If you think about our U.S. right now, it's primarily ES sales and TT sales, and TT sales as we've talked about with the exit of our exclusive injection station agreement, the TTE sales or TTE - the trucking business sales of the board has been today - on an LTM basis we de minimis and we expect would be sort of in sub $5 million this year. Conservatively and as Steve allude to or looking to grow that back to the $10 million to $15 million range into the next twelve to eighteen months. So yes, the exposure to the U.S. as we sit here today, it small but that's certainly something that we would look to grow.
Robert Catellier: Okay and maybe you can - that's segues nicely to last question years, just the progress realigning U.S. suggestions stations, really what I'm look of course a timeline as to when you think you might have enough traction to enough consider capital projects?
Steven Spaulding: So Robert when we first started to develop this strategy we thought we would probably it would take as a year kind of to get the strategy you going to launched and have the opportunity to start building now some small gathering system there. Really just the amount of activity in these basins and amount of opportunities in the basins along with you know hiring that crucial business development person. We believe that we will see some good and look forward in the projects and in probably the third quarter hopefully that's a good target for us. And again these are pretty small projects Robert probably in the $10 million range.
Robert Catellier: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Andrew Kuske of Crédit Suisse. Your line is now open.
Andrew Kuske: Thank you. Good morning and probably questions for Sean to start off with and probably more clarifying than anything. So just for clarity your - you anticipate your DCF this year really covering the dividends maybe a little bit better? And then your sale proceeds will cover the totality of your CapEx your growth and your sustaining capital but that's effectively what you're guiding to?
Sean Brown: Yes, absolutely. So yes, so payout ratio sort of at or below 100% we would expect and sale proceeds to fund growth capital.
Andrew Kuske: And in that growth capital number you had Viking really within that number because you had good line of sight on that?
Sean Brown: Yes, absolutely. Yes, that was in sort of the slides we presented at Investor Day and that is consisting with the messaging that we have.
Andrew Kuske: Okay. Perfect appreciate that. And then just on the U.S. business and just the potential if we think about all the steps of effectively setting up that U.S. business again realigning what you've already got? How do you think about the potential of just in SCOOP/STACK and the Permian with existing assets before you get into doing anything else incremental there?
Sean Brown: I think you know our main focus is really to stand in the business back out and get to that $10 million to $15 million run rate which includes kind of pilot system and you know the SCOOP/STACK is another exciting we talk about the Permian the SCOOP/STACK is an exciting opportunity for us. And we think that the growth in that area and that there are opportunities for some gathering and some short haul pipelines in the cushion area, so we will continue to evaluate those opportunities with the customers there in Oklahoma.
Andrew Kuske: And then finally if I may and just maybe a nit-picky accounting question, and this is to Sean just on terminations expenses you had I think and 2016 it was about $10 million, 2017 about $16 million? How do you think about that in 2018 given all the heavy lifting you've done in the last 12 to 18 months?
Sean Brown: I think our expectation is that we will have no adjustment for 2017 and 2018 as we think about it. This we had a significant charge in 2016 we did significant charge in 2017, there will be continued movement in the business but that will be reflected in sort of the ongoing G&A. So I would not expect another sort of non-recurring charge to show up in 2018.
Andrew Kuske: Okay. That's great thank you.
Operator: Thank you. And ladies and gentlemen this does conclude our question-and-answer session. I would now like to turn the call back over to Mark Chyc-Cies for any closing remarks.
Mark Chyc-Cies: Thank you, Sonia. And thank you everyone for joining us on our 2017 fourth quarter and year-end conference call. I would like note that we also have made available certain supplementary information on our website gibsonenergy.com. If you have any further questions please reach out to us at in investor.relations@gibsonenergy.com. Again, thank you very much for joining us and have a great day. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone's have a great day.